Operator: Welcome to the Methode Electronics Fiscal 2013 Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. This conference call does contain certain forward-looking statements, which reflects management's expectations regarding future events and operating performances and speak only as of the date hereof. These forward-looking statements are subject to the Safe Harbor protection provided under the securities laws. Methode undertakes no duty to update any forward-looking statements to conform the statements to actual results or changes in Methode's expectation on a quarterly basis or otherwise. The forward-looking statements in this conference call involve a number of risks and uncertainties. The factors that could cause actual results to differ materially from our expectations are detailed in Methode's filings with the Securities and Exchange Commission, which is our annual and quarterly report. Such factors may include, without limitations, the following: dependence on a small number of large customers, including 2 large automotive customers; dependence on the automotive, appliance, computer and communications industries; customary risks related to conducting global operations; the ability to successfully launch a significant number of programs; ability to avoid, design or manufacturing defects; ability to compete effectively; dependence on the availability and price of raw materials; dependence on our supply chain; further downturns in the automotive industry or the bankruptcy of certain automotive customers; ability to keep pace with rapid technological changes; ability to protect our intellectual property; ability to withstand price pressure; location of a significant amount of cash outside of the U.S.; currency fluctuations; ability to successfully benefit from acquisitions and divestitures; ability to withstand business interruptions; income tax rate fluctuations; and the cost and implementation of SEC disclosure and reporting requirements regarding complex materials. It is now my pleasure to introduce your host, Don Duda, President and Chief Executive Officer for Methode Electronics.
Donald W. Duda: Thank you, Christian, and good morning, everyone. Thank you for joining us today for our fiscal 2013 financial results conference call. I'm joined today by Doug Koman, Chief Financial Officer; Ron Tsoumas, Controller. Both Doug and I have comments, and afterwards, we will be pleased to take your questions. Methode's fourth quarter sales grew over 17% to $148 million, and for the year, grew nearly 12% to $520 million. In both periods, improved volumes driven mainly by increased sales of lead-frame assembly products and torque-sensing products for e-bikes, motorcycles and ATVs, as well as new product launches in our European Automotive business and higher appliance sales, along with the launch of new programs in our Power Products segment. These sales improvements were partially offset by softness in our European Industrial business, which is a higher-margin business for us. Methode's fourth quarter net income was $10.2 million or $0.27 per share compared to $5.8 million or $0.15 per share in the same period last year and was impacted by several items, which I will summarize from the press release. During the fourth quarter, we recorded a goodwill impairment charge of $4.3 million in our Power Products segment related to its assets. Doug will talk about this more in a few minutes. Additionally, during the quarter, we incurred compensation expense related to the tandem cash award component of our long-term incentive program of $2.1 million. The cash incentives awards that are based on the company's performance in fiscal 2015 will become payable if performance under the restricted stock awards issued in conjunction with the plan exceeds target performance. This $2.1 million adjustment reflects the company's estimates of fiscal 2015 performance. We'd also adjusted valuation allowance related to our Malta investment tax credit for a benefit of $7.6 million. Excluding the impact of the goodwill impairment charge, the compensation expense and the Malta valuation allowance, Methode's fourth quarter net income was $8.9 million or $0.24 per share. Fourth quarter earnings improvement was also impacted by higher sales, along with lower third-party inspection, premium freight and overtime expenses in the Automotive segment, higher-than-anticipated income from our torque-sensing business, MFT, as well as lower selling and administrative and legal expenses. Fourth quarter earnings were primarily negatively impacted by higher costs related to the design, development, engineering and launch of the General Motors center console program and severance and building demolition costs in the Automotive segment at Methode's Carthage, Illinois facility. Fiscal '13 net income was $40.7 million or $1.07 per share compared to $8.4 million or $0.22 per share in the same period last year and was impacted by the items I mentioned a moment ago, as well as the Delphi settlement. Excluding the legal settlement, the goodwill impairment charge, the compensation expense and the Malta valuation allowance, Methode's fiscal 2013 net income was $19.5 million or $0.52 per share, which was in line with the full year fiscal 2013 guidance. Full year earnings improvement was also impacted by the items I just discussed as well as commodity pricing adjustments in the Automotive segment and the reversal of a bankruptcy accrual. Fiscal 2013 earnings were primarily negatively impacted by the items I mentioned for the fourth quarter. Also, costs related to the design, development and launch of the General Motors center console program lowered fourth quarter net income by approximately $1.9 million or $0.05 per share and lowered net income for the year by $7.1 million or $0.19 per share. Launch cost for the year came in higher than anticipated due to higher-than-expected testing costs and product design changes requested by the customer. As we mentioned last quarter, the majority of these costs will be recovered over the 5-year life of the program by pricing adjustments that were negotiated with the customer. I am very pleased to announce we began production of the General Motors center console for K2 truck platform at the end of April. To date, we have shipped nearly 50,000 units, and the program is on track and -- to meet our revenue projections for this fiscal year. We expect to begin production of the SUV portion of the program in January. Consolidated gross margins improved 0.5 percentage point in fourth quarter, but phenomenally by 30 basis points for the year. For the fourth quarter, margin improvement is driven by higher margins in the automotive, power and other segments, partially offset by higher launch cost and building demolition and severance cost at our Carthage, Illinois facility, as well as lower margins in Interconnect due to sales mix. For the year, margins were negatively impacted by increased design, development and engineering costs for the General Motors center console program as well as increased sales of Ford center console program, which has a higher prime cost due to the higher purchase content. Additionally, the delayed launch of the laundry program in the Interconnect segment, as well as manufacturing inefficiencies in our Power segment impacted the full year gross margins. The development and launch cost for the General Motor center console program lowered automotive gross margins by 2.3% in both fourth quarter and full year. As we announced in our release this morning, we anticipate fiscal 2014 sales in the range of $630 million to $650 million, and earnings per share in the range of $0.91 to $1.11. We anticipate a quarterly sequential improvement in sales, gross margins, operating margins and earnings throughout fiscal 2014 with the fourth quarter currently expected to be the strongest quarter in terms of each of these metrics. The low end of the guidance reflects our concern regarding further deterioration of the European economy, thereby affecting our higher-margin businesses. At the high end of the range, we would anticipate stabilization in Europe and higher domestic automotive revenues. We may also see some potential upside from our Power Product segment, but this business has limited visibility to its revenue stream. Turning to a review of our individual segments. Automotive segment net sales increased 12% in the fourth quarter due to new product launches in Europe and higher sales of all products in Asia. For the year, sales grew 14% due to higher sales of the Ford center console programs and our transmission lead-frame product, as well as new product launches in Europe. While our European Automotive sales did increase, I should point out that due to economic conditions in Europe, they did not grow to the level originally anticipated. Automotive segment gross margins improved on fourth quarter but fell slightly for the year. In both periods, automotive gross margins were negatively impacted by the higher prime cost for the Ford center console program, as well as costs related to the launch of the General Motors program, partially offset by lower costs related to third-party inspection, premium freight and overtime expenses and a favorable commodity price adjustment. Regarding the Wall Street Journal article indicating that Ford was adding back traditional knobs to its center console, to our knowledge, the current programs will run their program life. In addition, the summer upgrade Ford is announcing for their MyFord Touch also has no effect on our product. I should also point out that our 2 most recent center consoles awards with General Motors and the French OEM utilize traditional knobs and switches. Moving to Interconnect. Sales increased 26% in the fourth quarter and nearly 10% for the year, attributable mainly to improved appliance and data solution sales, partially offset by lower sales of our radio remote controls, as well as the planned exit of a product line at our Asian operation. Appliance sales improved due to the social launch of all 4 phases of the laundry program. We anticipate this program to be at a full run rate in the second half of this fiscal year. Radio remote control sales decreased in Europe due to the ongoing weakness in the European economy. We anticipate that this will continue in this fiscal year. The Interconnect's gross margin declined in both periods due mainly to lower Hetronic sales, which carry a higher gross margin, while Interconnect earnings should continue to improve throughout fiscal 2014 as laundry program reaches for launch. This segment's margin will likely continue to be impacted by lower sales at Hetronic. However, we do anticipate the segment's gross margin will meet its gross margin target for the fiscal year, albeit at the low range -- at the low end of the range, again, due to sale -- lower sales at Hetronic. The Power Products segment had a good fourth quarter, with sales improving over 23%, leading to a 1% improvement for the year. The launch of a significant program for a datacom customer in the U.S., along with bus bars for the Nissan lead battery pack and high current bypass, which drove the fourth quarter improvement. However, for the year, these improvements were offset by significantly reduced military spending, delay of new programs and, in general, much lower volume than we originally anticipated. While we have limited visibility, we do anticipate the fourth quarter run rate will continue at least through the first quarter of fiscal '14. Power Products gross margins increased in fourth quarter to almost 23% in the full year to 70%, mainly due to a favorable product mix, partially offset by new product development costs. Without the new product development cost, gross margins would have been 27% in the fourth quarter and 22% for the year. Now let me summarize some of the new business awards and opportunities that occurred in the fourth quarter. In our Asian Automotive segment, the T-76 lead-frame program has been extended through fiscal 2018, and we have been awarded an additional $75 million in total program revenue for fiscals 2016 through 2018. Very importantly, Methode will maintain its sole store status on this program. In this segment, we're also awarded an overhead dome light assembly, using our innovative TouchSensor technology for an Asian OEM, with approximately $3 million in annual revenue at full production. This program has a 4-year program life, and we are in discussions to carry over this assembly to other platforms with the same OEM. Also in Asia, we were awarded the additional steering angle business for approximately $2.5 million per year. Now besides booking over $50 million in additional average annual revenue commencing in Methode's fiscal 2016, as well as successfully launching multiple programs during fiscal 2013, we also continue to focus on developing new technology and processes. In our Automotive segment, our capacitive touch screens had been auto-hardened to meet stringent in-vehicle standards. We anticipate the screens will begin to be integrated in center consoles on some vehicles commencing in fiscal 2015. Additionally, our highly patented Magneto-elastic technology continue to be prototyped and tested by multiple OEMs for transmission torque measurement. In our Interconnect segment, TouchSensor introduced its LevelGuard Sewerage-Rated Pump Switch based on Methode's patented Field-Effect technology. The switch is completely solid state, offering superior reliability, eliminating -- the need for moving parts as in conventional switches. The Tom Thumb [ph] version introduced last year is quickly becoming the switch of choice. Also, on Interconnect, we developed a wireless load pin to target the global industrial market, which combines our proven Magneto-elastic sensor technology with Hetronic's proprietary radio frequency technology. This newly developed battery-operated wireless load pin can sense torque, speed and angle and load and is capable of sending real-time measurements directly to the CPU of the machine or to the remote operator interphase. The wireless load pin will be marketed by Hetronic to our industrial customers for applications such as [indiscernible] cranes, wenches, concrete pumps and agricultural machines. We also introduced a process based on our Nano Ink technology, which brings a functional electric circuit using conventional ink jet printing equipment, thereby potentially reducing the need for conventional circuit boards. We believe, with additional development, that this process will be deployed in the production of user interface devices, such as those we currently supply to the appliance industry. And each of these innovations is key to our long-term strategy of providing our customers technology that enhances their products and competitive position and, ultimately, results in improved margins for Methode. And finally, I'm very proud that in fiscal 2013, Methode was named one of America's 100 Most Trustworthy Companies by Forbes for the second year in a row. This achievement recognizes the companies that persistently display the most accounting transparency, have the lowest incident of high-risk events and have appropriate board supervision. Now I will turn the call over to Doug, who will provide further detail regarding our financial results. Doug?
Douglas A. Koman: Thank you, Don. Good morning, everyone. Let me add just a few additional comments on the Eetrex goodwill impairment, the compensation expense related to the tandem cash awards and the Malta valuation allowance. Regarding the Eetrex impairment, in the fourth quarter, we tested the goodwill for reporting units in our Interconnect and Power Products segments. All but Eetrex, which is in the Power Products segment passed the Step 1 test. We subjected Eetrex to a Step 2 test and determined that its goodwill was impaired based on management's updated projections of Eetrex's discounted cash flows. We still believe this is a viable business, but because of the pushout in cash flows, the accounting rules require us to write off the the goodwill. The charge was $4.3 million. Moving to the tandem cash awards. In the fourth quarter, we recorded a $2.1 million expense for amounts expected to be paid under our 2010 long-term incentive plan for tandem cash awards. This expense represents the prorated catch-up expense from October 2010, which is the grant date, to the end of fiscal 2013, and is valued at the fiscal year end closing share price of $14.05. Performance under the tandem cash award is determined by fiscal 2015 enterprise value, which is fiscal 2015 EBITDA times 7.5 plus or minus net cash. The amount accrued is based on management's updated projections of future earnings and the net cash balances and assumes that the company will achieve the maximum level of performance under these awards. This would result in an enterprise value as defined in the plan, equal to or greater than $726.5 million at the end of fiscal 2015. On the tax benefit in the quarter, Maltese tax laws provide for investment tax credit on certain qualified capital spending. We are required to set up the valuation allowance for the accumulated investment tax credits in excess of amounts that we do not expect to utilize within a reasonable time period. In the fourth quarter, we reduced the valuation allowance by $7.6 million based on management's updated projections of the future taxable income eligible for the Malta credit. A few additional comments on CapEx and depreciation and amortization. In fiscal 2013, we spent $38.6 million for capital expenditures. This was higher than the range given at the end of the third quarter due to certain assets being placed in service more quickly than expected. Looking forward to fiscal 2014, we expect capital spending to be between $25 million and $30 million. This includes the additional capital to launch the SUV portion of the K2 program. Depreciation and amortization expense in fiscal 2013 was $18.8 million. In fiscal 2014, we expect full year depreciation and amortization to be between $23 million and $25 million. An important note for -- relating to our guidance. We anticipate that diluted total shares outstanding will increase by over 1 million shares in our 2014 period due to the inclusion of stock option shares that previously were underwater, and therefore, excluded from the calculation of diluted shares outstanding. For 2014, as we mentioned in the release, we expect the effective tax rate to be in the mid-teens. This does not include any adjustments to valuation allowances, which could affect our guidance. Working capital. Due to the significant increase in sales in fiscal 2014, we do expect to have an increased investment in working capital as inventory, receivables and payables increase commensurate with sales. We also expect to continue to draw on our credit line through 2014 to fund domestic cash needs. Don, those are my remarks.
Donald W. Duda: Doug, thank you very much. Christian, we are ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Steve Dyer with Craig-Hallum.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Just a couple of different things here. What drove the upside in the quarter kind of relative to your guidance in Q3, which was part of the way through Q4 then you ended up, obviously, quite a bit better? Was that kind of the laundry business kicking in sooner than possible or sooner than expected? Or was that sort of a bunch of different things? Or any more color there?
Donald W. Duda: So it's -- our lead-frame products in Asia came in higher than we anticipated. Our MFT products, as a torque-sensing product, are a little harder to predict that going on e-bikes and ATVs, and that's -- we have probably less visibility to that. Product launches in Europe, while they were -- the volumes were down, they weren't down as far as we had anticipated. Appliance came in slightly better. And then Power Products, that's, again, harder to forecast, but the datacom customer took more products than we had anticipated. And we were, of course, able to ship that to them. And that impacted the Power Products, so -- And certainly, a little bit of -- really, across the board, the only downside was electronic and that we understand is just something that was from the industrial market in Europe. But, really, we did see nice upside from most of the areas in Methode.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. And, I guess, as long as we're -- we touched on Europe. What's your general sense of things over there? Have we found the bottom? Are we -- what's just generally kind of your thoughts there?
Donald W. Duda: I guess, that's why you see the range that we gave. It is very difficult to get a handle on what's going on in Europe. The Automotive part -- I mean, I read one report last week that said things were stabilizing. And then I read another one that the volumes and the new registrations were going to be down. So it's really hard to peg that. And that's why I made the comment in our prepared remarks that on the low end of our range, we could see the further impact in Europe. And then the -- it's almost like the U.S. consumer confidence. And in Europe, that's, I think, having a big effect on the car-buying public. So I apologize, I can't give you a better answer than that, but...
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: No, that's helpful. So well into your range would incorporate some further deterioration in Europe?
Donald W. Duda: That's correct. That's fair.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. Just to clear something up on the lead-frame award that you announced? Is -- that $75 million, is that annually, or is that over the life of the program?
Donald W. Duda: That would be over 3 years. I'm going from memory. I want to say $16 million, it adds about $25 million and maybe high change, about the same for -- excuse me, I said $16 million, it should add $25 million and change, $17 million and $18 million, about the same. A little lower than $18 million, I think.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: And is that incremental?
Donald W. Duda: Actually, Steve, I'm being corrected, it's $28 million. And each of those, 3 years, and a little less in the final year.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. And is that incremental to the $40 million in lead-frame award that you have right now? That's all new?
Donald W. Duda: Yes, that would take -- it's incremental, and it supports our ramp in '16 and beyond.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. Is that what's one of the existing customers or new customer? Anything you can share about the customer?
Donald W. Duda: It is -- was an existing customer. It's a -- customer put it out for a competitive bid, and at one point, looking to have a second vendor, and we were successful in winning that award. It is the 276 lead frame for the GM 6-speed transmission.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Got you. Okay, 2 more quick questions. Any GM revenues in this quarter -- fiscal fourth quarter from the center console program?
Donald W. Duda: Up -- just a little under $3 million, I believe, not significant.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. And then when might we see the first win for the torque sensors in the -- in light vehicles? Is that a fiscal '14 event, fiscal '15 event?
Donald W. Duda: I would say it's a '15 event. We're still in the prototyping stages -- I mean, in serious prototyping. The customers are paying for the prototypes. It's not -- and they have active programs, but we're -- I think we have another 9 to 12 months to go before we get a handle on that, and that'll-- early on, it might affect '17. I think that's probably -- the '17 or '18 fiscal year would be affected by that.
Operator: Our next question comes from the line of Jimmy Baker with B. Riley & Company.
Jimmy Baker - B. Riley Caris, Research Division: Just a couple follow-ups here on some of the new business traction. Really interested to hear you give maybe a little bit more color when you talk about opportunities for your capacitive touchscreen and additional automotive programs, I think, you said in fiscal year '15. So if you could just kind of help us quantify that opportunity. And then maybe also set expectations for the margin profile of that product versus, let's say, your lead-frame or more integrated center stack solutions?
Donald W. Duda: Okay. It's difficult to give more color on the deployment of the capacitive screen, because we really can't say anything until our customer has announced their intentions, much like when we announce the GM initial award, we couldn't even say it was for pickup trucks. So I don't know that I can give you any more color on what platforms that will be deploying on. I apologize, but I do have to respect our customers' wishes there. As far as margin on the touchscreens, that's going to vary by program. But I can tell you that in our margin goals for automotive for '15, we've incorporated some of the capacitive screen being sold to our customers, so that will support our margin improvement there. And then, depending on where the next wins come from the screen, it'll exhibit probably slightly higher automotive margins and what we have in our target ranges. And it kind of depends on customers. It depends on if it's going to be solely -- if we were just selling the capacitive screen on its own, or is that being wrapped around a center console. I don't know if there's any more -- how are you to answer that. Is there anything [indiscernible]?
Jimmy Baker - B. Riley Caris, Research Division: Well, in respect to your customers' confidentiality, can you maybe point to what geography that award will be in?
Donald W. Duda: I think we've said the capacitive screens are going to be deployed in the United States first, so that and we certainly can say that. I can't give you more color on that, but we do have MBAs with our customers that I have -- we need to respect.
Jimmy Baker - B. Riley Caris, Research Division: Sure, understood. And then just a question on the guide. I think your recent conference appearances, you've been targeting 7% to 9% operating margins here in fiscal year 2014. And by my math, your guidance implies maybe just a slightly lower rate than that closer to 7% -- or excuse me 6% to 8%. Is the delta there just that your formal guidance is a bit more conservative than what you're targeting? Or has there been some impairment to your profitability expectations here in '14?
Donald W. Duda: No. I would say perhaps the latter. But what you're going to see, as I said, in our remarks is that our operating margins should steadily improve, sequentially, each quarter. And that as we've reached the fourth quarter, we'll reach the higher end of that range. So if anything, it's just the ramp that's affecting that. But as I said, you're going to see, assuming the volumes are where we think they'll be, you're going to see a steady ramp quarter-over-quarter throughout this year. So there's nothing that would change us -- would give -- actually, would give us any concern other than the first advice materializing.
Jimmy Baker - B. Riley Caris, Research Division: Great. And then last question for me. Just interested to hear more general color about any traction you're seeing in integrated center stock bidding. Now that you have the K2XX win under your belt and are out shipping that product. And, I guess, separately -- or on the other hand, if there's been any damage from, let's say, the more mixed press that the MyFord Touch system has had more recently.
Donald W. Duda: Let me answer the last question first. As I said, the programs we have now are all conventional. The only program that we had using touch was the Ford program. And, you're right, it is mixed press. Ford is selling a lot of vehicles. And on any given website or articles, you get mixed views on that. And we've said that, that's -- we weren't counting on -- in going forward if that was going to be replace conventional knobs and dials in the vehicle. We never planned on that. So if anything, it -- our notoriety, if that's the correct word, with Ford has kind of put us on the roadmap as a premier center console supplier, whether that be with Touch or conventional buttons. And the K2 is, I think, proof of that strategy working. As far as more traction in new programs, we are, obviously, pursuing the programs that are available with automakers. And I'm not doing a good job answering your questions here, but I really can't talk about the programs until we booked them. And again, that's usually in these quarterly calls. But rest assured, we're mixing it up with the appropriate automakers that have the programs and the volumes that match our capabilities.
Operator: [Operator Instructions] Our next question comes from the line of David Leiker with Robert W. Baird.
Joseph D. Vruwink - Robert W. Baird & Co. Incorporated, Research Division: This is Joe on the line for David. Don, just a quick question, on the last earnings call, you talked about having $20 million worth of center console product loaded into the production system. Your commentary in this call about the 50,000 units. I don't think that gets you quite to the $20 million mark. So I'm just wondering, 2 months in, looking into the July month, do you think you'll be closer to the $20 million kind of revenue mark as we close out the quarter?
Donald W. Duda: Well, the 50,000 was simply -- this is what's been produced. And I think I did say in our remarks that we're on track for our, I think, $139 million. So we're -- I guess, all I can say Joe is we're on track. There's nothing that would in our production system, on our releases, that would give us any pause that we're going to have a steady ramp here throughout the summer months.
Joseph D. Vruwink - Robert W. Baird & Co. Incorporated, Research Division: Okay. I guess 50,000 units probably brackets the $5 million to $10 million revenue mark, I'm guessing. And so I was just trying to reconcile that against the $20 million count as from last quarter.
Donald W. Duda: So right now, we're shipping to 1 of 3 plants. And then, I can't say when the other 2 plants come online here, but, Joe, I just issued guidance. I'm not sure, how much more color to give you there. Let me tell you this, we have sufficient releases loaded into our production system that would support the guidance we just gave.
Joseph D. Vruwink - Robert W. Baird & Co. Incorporated, Research Division: Okay. Switching gears on the capacitive touch screen business. I've always thought that when you look at that product, the piece of glass is kind of a higher-cost element, which presumably you're going to be sourcing in, so the fact that the overall product is going to be realizing a higher margin, is that a function of the touch points you underlay with the glass or just a function of the overall pricing of the total product when you incorporate the touchscreen?
Donald W. Duda: Our margins, the way we've designed the capacitive screen, which is somewhat novel from the conventional way of doing that does give us an advantage. And right now, we're buying the screen, so we get the growth and the vertical integration, which supports the improved margins. It's a combination of both, the way we make it and that we're not procuring the product -- from the outside, other than this way itself.
Joseph D. Vruwink - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then switching to the Power Products business. Just wondering, the really strong growth in the quarter, particularly, in Europe, is that pretty much all the Nissan lease product launching?
Donald W. Duda: No. The lease was a portion of it, but we saw a very strong shipment to our datacom customer here in the United States, and we were very pleased to see that. That's been a program that we've been working on for quite some time. And its impact to our margins shows that our strategy of supplying a subsystem versus the street components is starting to get traction and empowers us well. That's really the first major program we've launched, where we're -- we have a bus bar, a PowerRail, our high-current Interconnect, our cabling, all wrapped up into one -- several variations of the product, but one side of the product. So that -- Nissan lease was, of course, a nice win and instrumental in the quarter, but I would point more to the datacom business than anything else.
Joseph D. Vruwink - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then last one for me. Just with goodwill write-off, and how you think about Eetrex? I understand the calculation and how pushing out the cash flows can result in the impairment, but just wondering, given the changing expectations for electrified vehicles we've seen over the last couple of years, is your optimism or bullishness with Eetrex and that product category as strong as it was maybe 12 or 18 months ago?
Donald W. Duda: Well, what we did, really, maybe over a year ago is to refocus them on stationary storage for data centers where we know there's a demand and the need for the lithium ion in the battery backup systems. And we focus them away from EVs. And are originally, they were providing onboard chargers for the e-vans. And that's what was providing the cash flow projections. We were -- at one point, we were anticipating, I think, 300 to 400 units would be shipped. And I think in the end, it was 60 to maybe 70 units. And so quite some time ago, we switched their engineering effort over to stationary storage, where we've got a very clear path to market directly to the data centers, where in the EVs you're going with the OEs, your at best of Tier 1. So it's, really -- we made that switch some time ago, but then when we project the cash flows out, we have to do the analysis. And that's what caused the write-off.
Operator: There are no further questions at this time. I'd like to turn the floor back over to you for any closing comments you may have.
Donald W. Duda: Christian, thank you very much. And we will end the call and wish everyone a pleasant day. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time, and we thank you all for your participation. Good day.